Operator: Greetings. Welcome to the Century Communities First Quarter 2020 Earnings Conference Call [Operator Instructions]. As a reminder this conference is being recorded. I will now turn the conference over to Hunter Wells, Vice President of Investor Relations for Century Communities. Thank you. You may begin.
Hunter Wells: Good afternoon. Thank you for joining us today for Century Communities first quarter 2020 earnings conference call. Before the call begins, I would like to remind everyone that certain statements made in the course of this call are not based on historical information and may constitute forward-looking statements. These statements are based on management's current expectations and beliefs, and are subject to a number of risks and uncertainties that could cause actual results to differ materially from those described or implied in the forward-looking statements. Certain of these risks and uncertainties can be found under the heading risk factors in the company's most recently filed annual report on Form 10-K as supplemented by our other SEC filings. Our SEC filings are available at www.sec.gov and our Web site at www.centurycommunities.com. The company undertakes no duty to update any forward-looking statements that are made during this call. Additionally, certain non-GAAP financial measures will be discussed on this conference call. The company's presentation of this information is not intended to be considered in isolation or as a substitute for the financial information presented in accordance with GAAP. Management will be available after the call should you have any questions that did not get answered. Hosting the call today are Dale Francescon, Chairman and Co-Chief Executive Officer; Rob Francescon, Co-Chief Executive Officer; and David Messenger, Chief Financial Officer. Following today's prepared remarks, we will open up the line for questions. With that, I will turn the call over to Dale.
Dale Francescon: Thanks, Hunter. And good afternoon everyone. Since we spoke to you on our last earnings call just three months ago, the world in which we are living and operating has changed dramatically as the COVID-19 pandemic quickly escalated into global health crisis. There is much regarding the full impact of this crisis that remains unknown, including the far reaching implications it will have on our national economy and every person, business and industry across the United States. We are fortunate that homebuilding is deemed as essential business by most state and local governments, which has allowed us to continue servicing our home buyers during this challenging time. In addition, our team members have displayed impressive ingenuity that has enabled us to continue to build, sell, enclose homes daily across our national platform. While we fully acknowledge the challenges at hand and the uncertainty in the months that lie ahead, Century Communities is resilient and well-positioned toward the disruptions caused by the COVID-19 endemic. Today, I'll describe some of the actions we've implemented to enable Century to continue servicing our customers, as well as streamlining our operations. Rob will provide some additional commentary on steps we've taken to strengthen and fortify our business, including near-term expectations for land acquisition and development. Finally, Dave will take you through our first quarter results, review our strong balance sheet and discuss our full year outlook. We will then open the line for your questions. Not long ago, we shared with you the robust growth in sales contracts in January and our optimistic full year expectation. Even with the impact from COVID-19 affecting March sales activity, we still generated 2,388 net new contracts during the quarter, the most in the company's history and 29% increase in the prior year quarter. This strong sales performance resulted in the achievement of a variety of first quarter records including home sales revenues of $572.7 million, deliveries of 1,864 homes and an ending backlog of 2,594 homes with a dollar value of over $861 million. The coronavirus has created an ever-changing and unpredictable landscape. Our entire leadership team is intently focused on maintaining safe and supportive conditions for our team members, customers, existing homeowners and trade partners. We have quickly adapted to the restrictions and challenges affecting our home selling and building processes, such as limiting trade partners within home, online contracting capabilities for our home buyers and scheduling appointment only and virtual visits to our sales zones. In terms of adapting our sales processes, our Century Complete brand was already utilizing a variety of online resources, which enable buyers to shop for and purchase homes completely online. We quickly migrated and ramped these resources across our entire Century Communities portfolio. Through this action, we are now providing a full suite of online resources to create a seamless and uniquely tailored home buying experience from virtual tours, appointments and video walk throughs to signing contracts and transferring earnest money deposits electronically. In lieu of in person meetings, we're also increasing our engagement with potential buyers via text, phone, email, and video calls. We saw an increased response in our digital efforts with total company Web site traffic in the first quarter of 30% compared to the same period last year. Web traffic for the first three weeks of April were up 29% as compared to the same three week period the prior year. We are pleased with this increase in web traffic, which reflects our highly successful transition to a full service virtual home buying experience. Additionally, our mortgage title and insurance companies are fully equipped to meet the necessary demands of virtual home buying. These capabilities range from online loan pre-qualification to full application and approval and even all the way through to the closing of the home. We are able to distantly facilitate the entire home buying process for our customers, providing them an effective one-stop financing and closing online experience. Our ability to adapt and utilize our impressive array of online tools has allowed us to continue our commitment to servicing our customers during this challenging time. While these recent events have caused us to adjust the way we run our business, we’re developing more efficient ways to operate that will make our organization stronger and more competitive long after this crisis has passed. Our sales efforts continued to be supported by a positive mortgage rate environment with interest rates at historical lows, which is expected to continue for the balance of this year and into 2021. Even with the credit tightening and dislocation that has occurred in the mortgage market, we have continued to be successful in qualifying and closing the vast majority of our home buyers. While the restrictions and uncertainty surrounding the impact from the virus have clearly affected our sales, homebuyer demand has so far held up better than anticipated. Net sales for April are trending to be down less than 10% from April 2019 with both gross and net sales increasing each sequential week. While cancellations were elevated in March, they have declined each week this month and are now consistent with our year to date average. We are encouraged by our increasing April sales pace and the declining cancellation rate, as well as seeing a number of states beginning to loosen coronavirus related restrictions and reopen their economy. This is not the first storm we have weathered. Rob and I, along with our entire leadership team, have the experience to make the adjustments necessary to navigate through these turbulent times. Given our strong balance sheet with ample liquidity and an attractive competitive position across our national platform, we are confident in our ability to deliver long-term growth, drive improved operational performance and create meaningful value for our shareholders. I will now turn the call over to Rob.
Rob Francescon: Thank you, and good afternoon everyone. As Dale discussed, demand across our national platform remain strong into the beginning of March. However, we saw traffic and sales activity decelerate during the second half of the month. This significant shift caused us to quickly take steps to strengthen and fortify our business. In addition to enhancing our online resources and virtual technology to aid in the continuation of our sales and home closings, we also took action to ensure that the company was positioned with cash flow and liquidity to endure an extended period of lower demand stemming from the COVID-19 pandemic. First, we have reduced new spec starts in our Century Complete business and with few exceptions eliminated them in the Century Communities brand. The spec starts that remain are in markets and communities where we are confident we will sell and close the home. While we continue to sell and start pre-sold homes where we have the appropriate deposits and loan approvals, we are focusing our current sales efforts on spec homes already under construction. Second, we have adjusted our approach to land acquisition and development. Toward the end of the first quarter, we reviewed our pipeline of controlled land positions and terminated a number of pending acquisitions that no longer met our heightened criteria, which reduced the number of controlled lots compared to the fourth quarter 2019. Of the controlled lots that remain, we have successfully worked in most cases to extend expected closing dates. Our number of owned lots increased sequentially. And with the exception of Century Complete and certain other finished lot rolling option transactions, we now own all of the land needed for the balance of this year as well as the vast majority of next year's needs. We have also slowed or stopped land development activities, which we do not anticipate will adversely affect our ability to grow the business once the market stabilizes, as nearly 60% of our owned lots are already finished. We intend to continue this course until we have better visibility and understanding of the near and longer-term impacts of the pandemic on home buyer demand. Lastly, we have instituted a variety of actions designed to reduce our operating expenses, including the extremely difficult decision to reduce the size of our workforce through a targeted layoff in April. We felt this reduction in staffing was necessary given the current and uncertain economic environment. We intend to continue to closely monitor our operations for additional opportunities to control costs and limit cash expenditures. We are also resolutely committed to not only sustaining our business operations through this global pandemic, but also adhering to evolving best practice recommendations regarding COVID-19 in order to safeguard the health and safety of our employees, customers, homeowners and trade partners, as well as their families. We have been extremely fortunate that to our knowledge as of today's call not any single employee of Century Communities has reported contracting the coronavirus. From the first reports of this escalating health crisis, our leadership team took immediate steps to protect our team members and we continue to be 100% focused on doing so. As Dale mentioned, this is not the first crisis our tenured management team has experienced, and we have successfully operated through cycles of distress before. In times of economic uncertainty, buyers tend to be more conservative and purchase homes at more affordable price points. Our target buyers are intent on pursuing their dream of home ownership and know the value of securing a record low mortgage rate. We are confident in our ability of continue profitably selling, building and closing homes. I will now turn the call over to Dave who will provide a detailed update on our financial results and outlook.
David Messenger: Thank you, Rob. During the first quarter of 2020, our adjusted net income increased 45% to a record $26.7 million or $0.80 per diluted share and net income increased 53% to a record $26.1 million or $0.78 per diluted share. Home sales revenues for the first quarter increased to $572.7 million, an increase of 9% compared to $523.3 million in the prior year quarter. This improvement in revenues was driven by 29% increase in net new contracts to a company record 2,388 homes and a 12% increase in home deliveries to a first quarter record of 1,864. The average selling price of homes delivered for the first quarter of 2020 decreased to $307,200 compared to $314,700 in the prior year quarter, which is consistent with our plan to capture an increasing share of home buyers and entry level price points. Given the increased demand that we experienced in our market, we successfully drove an outsized backlog conversion rate and increased our gross margin both year over year and sequentially. Adjusted homebuilding gross margin percentage increased 40 basis points to 20.2% compared to 19.8% in the prior year quarter. Adjusted homebuilding gross margin in the first quarter of 2020 excludes a onetime non-cash pretax impairment expense of $781,000 related to one community that is in close up. SG&A as a percent of home sales revenue was 12.9% in the first quarter compared to 13.2% in the prior year. This was a result of our past and continued efforts to improve the operating leverage of our company. In the first quarter of 2020, our financial services business which title, insurance and mortgage generated $9.8 million in revenues, up of 17% year over year. The business contributed $209,000 in pretax income compared to $1.6 million in the prior year quarter. Our Q1 results were negatively impacted by the turbulence in the credit markets that occurred in the last two weeks of March. As a result, our hedge portfolio incurred $3 million unrealized non-cash valuation loss. During April, we have been recouping this valuation loss as the credit markets have begun to stabilize. Now turning to our balance sheet and liquidity. We ended the quarter with a strong financial position to weather the challenges related to the COVID-19 pandemic. During the first quarter 2020, the company drew down additional monies under it's revolving credit facility as a proactive measure during this period of disruption and uncertainty. As a result, we ended the quarter with cash of $473.5 million and total liquidity of $592 million, including $118.1 million of availability under our credit facility. Based on our current cash balance and the cash conservation measures that Rob discussed, we believe our balance sheet is well-positioned to provide us the necessary flexibility in the current environment. We will continue to closely monitor our operations and we'll make further adjustments as appropriate. As of March 31, 2020, we had total assets of $2.9 billion, liability totaled $1.8 billion and stockholders' equity was $1.1 billion. Our net homebuilding debt-to-net capital increased slightly to 46.6% compared to 45.2% at the end of 2019 and down significantly from 53.6% in the prior year quarter. Given the proactive measures we have put in place, we expect to continue to make progress in reducing our leverage as we go forward. In the first quarter, our tax rate was 23.4%, compared to 25.6% in the same quarter of the prior year, primarily due to estimated $45 credits. For the first quarter of 2020, business trends through the first two months of the year were inline with company expectations. However, as COVID-19 reached the global pandemic level, we have experienced many unexpected changes to our business. Mandates at all levels of government continued to change by the day and safety and wellness guidelines are being updated on a real time basis by local and national health authorities. Furthermore, the estimated timing of shelter-in-place restrictions being lifted varies widely across our markets and the country at large. Therefore, the ultimate economic impact of COVID-19 and the related effects of home buyer demand is truly unknown currently. As such, we are withdrawing our previously communicated full year financial outlook for 2020. I do want to discuss one item related to the second quarter. As previously mentioned, we made the decision to lay-off a number of our associates in April, and we'll be recording a severance charge for approximately $2 million. These are unprecedented times and we will look to provide additional updates on our business as we gain more visibility. In the interim, we are confident in the strength of our business, our capital resources and that the talented Century Communities team will help us to succeed and come out of this disruptive periods stronger than ever before. With that, I'll open the line for questions. Operator?
Operator: Thank you [Operator Instructions]. Our first question comes from the line of Thomas Maguire with Zelman and Associates. Please proceed with your question.
Thomas Maguire: Great quarter and glad everyone is safe and healthy. I guess first, the April commentary was obviously really encouraging. Can you just dig in there and talk about what you think is driving the sequential improvement in activity? And part of the net side is cancellations, but you also had the comment in there about growth. So just broadly, what do you think is getting the consumer more comfortable to engage with Century? And how do you think the pullback that you spoke to could impact orders in future months, if at all?
Dale Francescon: So in terms of what's making it more comfortable, I think it's a couple of things. One, I think we're doing now a better job adjusting to the circumstances. We've ramped up a lot of our virtual sales tools. Our salespeople are getting more comfortable with that. And candidly, we're seeing more people out and about. There are restrictions being loosened all the time. And it's just, I think everybody is feeling that after the initial shock, while there's still a long way to go, people are starting to recognize it's really not the end of the world. And in terms of the declining cancellations, but we've spent a lot of time with our salespeople have with our home buyers, making them comfortable and reminding them what a great time this is to buy a home at low interest rates. And we've really focused our sales efforts on our homes that are under construction. And as a result again deliver much more quickly than if we were selling a to be built home. As far as what we expect in future months, for a period of time, we have a fair amount of homes under construction. We're comfortable with that. We're continuing to keep a very close eye on the market. And if we feel that everything is starting to stabilize even more then we'll probably start building some additional specs. But right now that's one of the things that we've done is we've really backed off on our specs and we wanted to make sure where everything settles out before we would start that up again.
Thomas Maguire: And then just to look back at the first quarter results, obviously a lot of moving pieces, but the Century Complete is little weaker on a relative basis to what you're reporting. Can you just talk about that? Is it more of a function of cancellations and the net number we're seeing for that buyer and maybe some issues of financing you spoke to in the prepared remarks? Or I guess more broadly, how do you think about the difference in the behavior of that entry level buyer for that product versus a core Century, even a first move up product in this environment?
Dale Francescon: You know, it's really two things. One, we've changed how we count a sale. So because we sell online, what we now do is when a buyer puts up their initial $95 deposit and they execute a contract, we no longer count that as a sale until they put up the balance of their deposit and we have a conditional loan approval. So we have a little bit of a lag time with that. But we have found that that process works a lot more smoothly than if we counted right upfront. The other thing that we had affected the results is we had a group of homes that were sold to one investment group that canceled right at the end of the quarter. So those two things are really what drove the reduced sales rate. In terms of the buyer as we go through and the qualification, we obviously have certain buyers that have a challenge qualifying. But in general that is not a challenge that we face. In fact, the average FICO score of our buyers on the Century Complete side is above 700.
Operator: Next question comes from the line of Michael Rehaut with JP Morgan. Please proceed with your question.
Unidentified Analyst: This is [Maggie] on for Mike. First question another on I guess Century Complete versus the traditional Century branded products. As you talk about April and the sequential improvement each week. Is that improvement pretty consistent between the Century Complete product and the traditional Century product, or are you seeing one versus the other improving more? I guess any color you could give about the different buyer groups.
Dale Francescon: No. Actually, [Maggie], we're really seeing it across the board. And so the improvement that we're seeing is really both in the traditional Century Communities product, as well as in the Century Complete product. The same thing with the reduction in cancellation rate we're seeing that across our portfolio as well.
Unidentified Analys: And then you mentioned that you've reduced the number of spec starts in the Century Complete brand. And I was wondering if you could maybe give an idea of magnitude of that reduction?
Dale Francescon: That would be the first site that we start up, because just the nature of the business, all of those are spec starts and we don't do pre-sales on that business. It just isn't really set up for that. So, when we look at where our average price point is, we're really not concerned about selling those homes. It's just we wanted to give everything a pause. Just get our feet underneath us and then that'll be the first part of the business that we'll start building specs.
Operator: Our next question comes from the line of Alex Rygiel with B. Riley FBR. Please proceed with your question.
Alex Rygiel: Yes, it's happy to hear everybody's healthy and very nice first quarter. Dave, could you expand upon your comments about the mortgage market tightening and maybe how that has loosened up in the month of April?
David Messenger: Everybody else has saw that in middle of March when liquidity dried up, you had wide issues of forbearance, you had people having job losses, the credit markets really seized. Since then, the governments come out. We have liquidity back in the markets. You have some rules regarding forbearance. And all of a sudden you’ve got the market acting in a more traditional manner. We've had no pushback from investors buying mortgages. We see liquidity in the market, not only from warehouse banks but from the investment side as well. And so, we see the market acting a bit more normal compared to what it was just call it six weeks ago.
Alex Rygiel: And then Dave, you mentioned there were a number of cost savings actions in the month of April, headcount related, expense related. I suspect there are also increased costs associated with managing with COVID. How should we think about this cost savings versus the increased costs? Do they sort of offset each other or is one greater than another?
David Messenger: I'd say, maybe they offset each other to some extent, but I would say that as we look at it obviously we made the difficult decision to lay-off some of our staff throughout the country. And with that if there's any discretionary spending going on in the company, it's under a microscope right now. And so, we're definitely watching any dollars that go on. So whether that’s new contracts, any other spending that we had that was in the queue, we're evaluating what is really necessary for the business versus what it was nice to have. There are some increased costs in terms of dealing with COVID just given where you can have people and additional supplies that we have, but I wouldn't say it's been too significant of a number for us.
Alex Rygiel: And lastly, as it relates to the land purchases and cash spent on land in 2020 versus 2019. I suspect it’s obviously going to be down. In any way you could quantify your bracket how much it could be down and how comfortable you are with actually eliminating land purchases this year given you’ve got two year sort of of backlog in hand already?
Dale Francescon: We're comfortable if we have to eliminate land purchases, I don't think that's going to be the case. So I think things will start falling out a little bit as we get further into the year. But since we have 60% of our own lots finished, as well as there's rolls on top of that on a controlled basis that are finished loss that are roll in on an as needed basis, we feel pretty comfortable with that. And until we really see how this shakes out on the land side and the demand side, we're not prepared to go forward at this point. But I think that’s going to open up by sometime this year, towards the end of the year.
Operator: Our next question comes from the line of Jay McCanless with Wedbush. Please proceed with your question.
Jay McCanless: The first question I had. Could you actually give us what the cancellation rate was for 1Q and how that compare to 1Q last year?
Dale Francescon: So when we look at last year from January through April 2019, our cancellation rate was 24%. We look at first quarter of this year, our cancellation rate was 21%. If we look at March by itself, the cancellation rate was 28%. And we look at April, we're back down to a year to date at 21%. So if we look at it over the first four months of the year, we're 21% which is exactly where we stood at the end of the first quarter, which is down from where we stood at this point last year.
Jay McCanless: The next question I had, your average backlog price is almost 10% sequentially, and I’m guessing that's just mix issues with the cancellation you talked about. Should we expect a higher average backlog price like we saw this quarter by sequentially year over year as you guys are deemphasizing and building less on the fleet side?
Dale Francescon: No, I wouldn't expect that at all. And it's not that we're really deemphasizing, it just has to do with which starts for a period of time. And so, the backlog is strictly based on mix. I wouldn't expect that our ASP is going to change significantly as we go forward.
Jay McCanless: And then I guess what are you all doing with incentives on the core Century product and what are you seeing as far as incentives from your competitors, whether it's buyer incentives or maybe some higher co-book fee if you can touch on that?
Dale Francescon: Yes, there's a little bit of all of that. We're not doing anything that I would considered to be extraordinary, and we're not seeing any of our competitors in the marketplace do that. It's really where as we're focused on selling our specs, it's really down to a house-by-house case and what that particular buyer needs to buy that home. And you talked about incentives, additional co-book, all of those are part of the playbook, and we've given the flexibility to the divisions to do what they need. And we're not seeing anything that's crazy that our people are doing or really that all the competition is doing.
Jay McCanless: Then on prices, whether it’s from prices or on land prices. Are you seeing either of those come down for your product or what the competitors are doing right now?
Dale Francescon: No, not really. This has gone on for really a short period of time. There hasn't been from what we've seen an adjustment to on land prices. We've pushed off land closings, land sellers have been pretty accommodating. And as we talk to our peers there, they're doing the same thing. Obviously, if this goes on for an extended period of time, that will start affecting land prices. Right now, it's only affected the timing of closings. And I think the same thing holds true with home prices. We really haven't seen a downward push on prices and we're not expecting that unless it goes on for a long time. But there's just a lot of inventory on the market. One of the things that's occurring as well is that a lot of the resale inventory has come off the market. So people are really favoring newly built homes as well, because they're more comfortable going for a home where somebody is living in. And so, there's a lot of benefits right now, and all of those things are really holding up the prices of our homes pretty well.
Operator: Our next question comes from the line of Alex Barron with Housing Research Center. Please proceed with your question.
Alex Barron: I wanted to ask about bill times with social distancing between workers and stuff. Has that affected the construction time of the homes much?
Dale Francescon: No, we have not really seen an effect on that. Things have been running fairly smoothly on cycle times, our trade partners showing up and of course, there's different protocols on the job sites as a result of this. But everybody seems to be embracing that and we have not seen that as anything detrimental.
Alex Barron: And as far as the Century Complete, I guess that brand used to rely more on clients kind of window shopping on the Internet. So has that changed much in the way that it's being sold these days or not?
Dale Francescon: No, it hasn't changed at all. In fact, that's one of the advantages that we've already sold on a virtual basis. And so when we look at that, we've really developed a bit of an expertise on that and we've been able to take that expertise and move it over to the Century community side as well. So when we look at that everything in terms of focusing on selling over the Internet is what that product line is always done. And so as we've taken in more of that on to the century side, we've been able to take some of the things that we've learned on century complete and moved those over. So it's really enhanced it overall.
Alex Barron: One last question, I think some of your other competitors have seen sales drop in the last few weeks a lot more than you guys probably in the neighborhood of I don't know, 40% to 80%. So what do you think you guys are doing differently, or what do you think is the main value proposition that you guys are offering clients, why your sales are only down about 10%?
Dale Francescon: I think part of it is that about 80% of our offering is what I would consider to be entry level. When you take that price point and you couple with low interest rates, it becomes very attractive. In many cases, our buyers, in fact in most cases, our buyers don't have homes to sell. So they're not in a situation where they can't move, they're in an apartment and it makes a lot of sense. You know, they want to be able to move into their own home, move out of a denser environment. And I think that our product is perfectly positioned for that. And then you couple that with the fact that we have experienced selling online, we have experienced selling virtually. It's not all related to someone walking into the door and walking through models from one end to the other. So when we look at all of that, I think that our product offering and the way we sell is set up very well for the situation that currently exist.
Operator: There are no further questions in the queue. I'd like to hand the call back to Dale Francescon for closing remarks.
Dale Francescon: Thank you, Operator. We could not be more impressed by the truly extraordinary efforts of our entire organization, which has quickly adapted to these challenging times. We have seen team members display unwavering tenacity and an unparalleled commitment to serving our valued home buyers. On behalf of our entire leadership team, we want to sincerely thank them for their hard work and continued dedication during these unprecedented times. And thank you to everyone who's joined us on our first quarter conference call today. We appreciate your continued support and investment, and look forward to speaking to you again next quarter.
Operator: Ladies and gentlemen, this does conclude today's teleconference. Thank you for your participation. You may disconnect your lines at this time and have a wonderful day.